Operator: Welcome to the DHT Maritime second quarter 2008 earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s conference, Jr. Eirik Uboe, Chief Financial Officer of DHT Maritime.
Eirik Uboe: Before we get started, I would just like to make these introductory remarks. This conference call is also being broadcast on our website www.dhtmaritime.com and a replay of this conference call will be available on the website. In addition, our Form 6K evidenced in this news release will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements which include statements regarding DHT’s prospects, the outlook for tanker markets in general, expectations regarding daily charter hire rates and vessel utilization, forecast of world economic activity, oil price and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping, and projected drydock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from expectations reflected in these forward-looking statements. With that I’d like to turn the call over to Ole Jacob Diesen, the CEO of DHT Maritime.
Ole Jacob Diesen: I shall go through the business situation of DHT Maritime for the second quarter of 2008 and Eirik Uboe then will go over the financial aspects of the period. In general the second quarter of 2008 saw a continuation of the seasonal upturn in the freight market, an upturn that started in the fourth quarter of 2007. We have experienced one of the best first halfs ever, not only for DHT with a three-year history but for tanker companies overall. Although the market was volatile, the VLCCs as an average earned almost $100,000 a day on [inaudible]. The Suezmax earned $58,000 a day and Aframax is almost $50,000 a day. Now these earnings allow the company to benefit substantially from the profit sharing range arrangement [inaudible]. Now even though we feel that the volatility in the industry does not warrant comparison to one year back to be as relevant as comparison to the previous quarter. Let’s say that the freight rates experienced in the second quarter 2008 are almost doubled of what was experienced in the same period of 2007. Now technically the company vessels are operated well over the period with only eight days of off hire for our [inaudible]. Marketwise China, India and the Far East remain the primary drivers of the growth in oil demand and thus the tanker demand growth. The strong oil demand growth in the industrial – I would say industrializing and developing countries in the Far East be substantially supported by the political environment to shelter the consumer from the escalation in the market price of oil. Although some changes have been made as oil prices increased, the free market pricing is not believed to be likely in the near future. The growth in the oil import in these areas is substantially transported by sea and that overshadows the weaker demand and slower growth in the economies of the US and Europe. We see the tightening in the freight market that is experienced this year being substantially a result of our balance tanker demand and the supply situation. In particular the supply factors which are affected by the delay in new building deliveries is affected by tankers used for storage and is also affected by dislocation factors with a two-tier market as we have seen with Double Hull Tankers. In addition there is a slowdown in the speed and port delays and these are leading to longer voyages and increasing in [inaudible] transportation. While one may have experienced the peak of the conversion of tankers for other type of vessels, scrapping our older senior oil tankers become an attractive alternative as 210 is approaching. And with scrapping prices of $700 per light ton, I can tell you that even the price of [price] for an old VLCC about $25 million. DHT is currently time chartering seven of its vessels to OSG, Overseas Shipholding Group, at base hire rates per day of $37,500 for the VLCC and $24,800 and $18,800 per day respectively for the larger and smaller Aframax tankers. Suezmax tankers in the company are fixed on bareboat charters at rates of $26,300 per day and $26,600 per day respectively. The vessel Overseas Newcastle has an element of profit sharing. That profit sharing over $35,000 a day per earnings. The charter arrangement we have provides the company with steady minimum cash flow. Regardless of the negative fluctuation in the market rates we lower the base hire. At the same time it benefits from the upside where the charters allow for profit sharing over and above the base hire or threshold. With additional hire arrangements with OSG we are paid 40% for the average revenue that our VLCC Aframax tankers earn in any given quarter within the tanking international and the Aframax international commercial pools respectively. We earned that over and above the base charter hire for that quarter. And for the Suezmax’s we are 33% with average revenue that Overseas Newcastle earned in a given quarter over $35,000 per day. The strong market that we have seen proves the benefit of the profit sharing and during the second quarter of 2008 DHT Maritime has generated additional hire under the profit sharing arrangement to the extent of high point $2 million. That’s over 20% for the total revenues and over and above the base hire earnings of $22.6 million for the period. For the third quarter OSG has reported in July that more than 60% of the capacity of the VLCC pool tankers international is fixed at $142,000 a day and more than 40% of the Suezmax capacity is fixed at $69,000 a day and about a third of that from Aframax capacity in the Aframax international pool is fixed at $54,000 a day. These are figures that all bode well for DHT Maritime to earn additional hire by the profit sharing arrangement also in the third quarter. Overseas Ania an Aframax tanker is for July taking out the Aframax international pool and is now chartered by OSG to its wholly-owned [license] operation at $29,000 a day. And this is for the remainder of the initial charter period for that vessel that expires in October 2010. That again is the charter period between DHT Maritime and OSG. The rate of $29,000 per day shares at the basis of [inaudible] profit sharing. Now that said, I’d like to point out that the remaining three Aframax factors continue to trade in the Aframax international pool. Falling oil prices from the previous high is expected to lead to further consumption and drawing on inventories. But with prices still historically high, we do expect that OPEC will continue to be the largest contributor to incremental oil supplies and this will lead to increased long-haul transportation and timeline demand. New building prices remain strong with the yards still causing deliveries with three years lead time but now they are focusing more on other [inaudible] categories and tankers. Among the factors that hold up the new building prices are the increased cost of steel and components, particularly steel costs 20% of the vessel cost has increased steadily. The cost of engines has in fact doubled in value over the last three years. And then of course another factor the reduction in the value of the US dollar into local currencies. That keeps the prices for the new buildings up in dollar counts. Now the shareholders of what was Double Hull Tankers approved at the general meeting in June to change the name of the company to DHT Maritime, Inc. This was a proposal I would put in motion in light of the rapid pace of the single hull tankers and today that [inaudible] operating world tanker fee on double hull construction. Subsequently to having strength in the balance sheet by raising $92 million in new common stock offering equity and US dollars $11 million from cash flow for the first half of this year, the company recently filed a shelf registration with SEC for an additional $200 million and that’s replacing the previous shelf registration. We considered that for the company thus to be well prepared to take advantage of selected growth opportunities and in doing so the focus continues to be on creating value for the shareholders in terms of internal investment and accretion to distributable cash flow. With that I will hand it over to Eirik Uboe, our CFO.
Eirik Uboe: As you may have seen already from the press release the second quarter of 2008 was another very strong quarter for DHT which provided a record high profit sharing under our charters. Total revenues of $27.8 million for the quarter consisted of $22.6 million in base charter hires and $5.2 million in additional hires under our profit sharing arrangements with OSG. We have earned additional hire each quarter since being listed on the New York Stock Exchange in 2005. Net income for the period was $10.3 million or $0.29 per share. The Board of Directors has declared a dividend of $0.25 per share which will be paid on September 24 to shareholders of record on September 15. For the quarter DHT’s VLCCs and Aframaxes achieved average time charter equivalent revenues in the commercial pools of $96,000 and $48,800 per day respectively. This is according to data from the commercial pools. The Suezmax Overseas Newcastle was also in profit share of earnings of $58,000 per day during the quarter. Of the additional hires $2.9 million relates to the VLCCs, $1.6 million relates to the Aframax tankers, and $0.7 relates to the Suezmax tanker Overseas Newcastle. For the quarter revenue days were 267 for the VLCCs and 362 for the Aframaxes. The Suezmax tankers had a total of 182 earning days in the quarter and total off hire for the quarter was eight days. While the base charter hire rates for our vessels provide for stability in revenues in weak markets, the profit sharing element gives us the benefit of sharing in the strong markets that the cyclicality of the tanker market can lead to from time to time. Also for the second quarter of 2008 DHT’s vessel expenses including insurance costs were $4.8 million, depreciation and amortization expenses were $6.5 million, G&A expenses were $1 million, and net finance expenses were $5.2 million. With that I’ll open it up for questions.
Operator: (Operator Instructions) Our first question comes from Ken Hoexter - Merrill Lynch.
Ken Hoexter - Merrill Lynch: Ole can you just follow up on what you were talking about on the price of vessels in the market and talk about w hat your view is of the market perhaps now that you’ve gotten this extra $11 million of cash on hand and you’ve filed the shelf. What is your appetite for actually entering the market? Can you kind of just give a feel of how things are price-wise relative to what the rates are?
Ole Jacob Diesen: I think that what we are seeing today is levelization. Over the last few years we had seen a very strong growth in the cost of vessels. You don’t see that to the same extent any longer. So I think that what we are seeing is also that the time charter market is in fact, it’s catching up with the pricing. Having said all that, I will say that it’s remarkable to see today that I don’t think that I ever in our short history seen so many requests and so much more business opportunities. Now how to get the business opportunities that meet the criteria is a different story but is a very good sign that there is an increasing request for doing business with DHT Maritime.
Ken Hoexter - Merrill Lynch: What do you feel is driving that, particularly with day rates that as you noted you’ve never seen before for this extended period of time? Do you think the pricing is going to remain where it is or do you feel that the credit crisis is really hurting some out there and that you can take advantage of perhaps some strong rates?
Ole Jacob Diesen: I think that what we are seeing is that there are people who have made loyal contracts and they at times like to see if there isn’t a chance where they can offload some of their contracts. And they find that public entities are attractive business partners.
Ken Hoexter - Merrill Lynch: When we had talked a little while ago, you had said that you would prefer a larger transaction than adding onesie twosie types of vessels. Is that still your feeling and do you feel that you’re having those kinds of discussions more actively at this point?
Ole Jacob Diesen: What I always said was I would like to do so-called corporate transactions. That means I always wanted to do transactions which involved the use of shares. That’s what we are seeing today.
Ken Hoexter - Merrill Lynch: So you are seeing the market be more active in that?
Ole Jacob Diesen: Yes.
Operator: Our next question comes from Kabe Woods - KLW Properties.
Kabe Woods - KLW Properties: I have a two-part question basically about capacity and utilization. Could you give us your feelings on overall net capacity increases worldwide? Do you have an idea of how many VLCCs are coming on board in the next couple of quarters? And the second part of the question is your Suezmax utilization of 182 revenue days, do you expect that to improve some?
Ole Jacob Diesen: I’ll take the Suezmax first because the Suezmax as we have chartered on so-called bareboat charters to OSG and that means that we are receiving earnings for every day. The off hire risk is at the hand of OSG. Concerning what is happening in the market in [inaudible] and deliveries, I don’t have on the top of my head information that gives you on a quarterly basis but I do have information that the order book overall for the various categories shifts. But of course that leads some of it in 2008, 2009, 2010, etc. In short, the VLCC has today a fleet of around 500 ships and the order book is short of 50%. Now the Suezmax is a fleet around 360 ships and an order book about the same. And the Aframaxes have around 750 ships and the order book is about 35%. Now what remains to be see is the fact that when these ships are going to deliver which makes it also very difficult to give you a good answer about quarterly deliveries of these ships because we are seeing delays in deliveries. And that is one of the things when you look at the supply factors, that’s actually show that one of the reasons is the fact that new buildings are being delayed. They are being delayed because some of the yards are particularly in New York and less predictive than expected. They’re also being delayed because the shipyards have had problems in obtaining engine and ordinary components on time. So it’s very hard to give you an exact delivery schedule.
Operator: You have no questions at this time.
Ole Jacob Diesen: If we have no questions, then I will just say thank you very much to all the participants and let’s look forward to another quarter which hopefully will be also very good. Again, thank you very much for participating.